Operator: [Foreign Language] Good day. My name is Steve, and I will be your conference operator today. At this time, I would like to welcome everyone to the Boralex Inc. Second Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Marc Jasmin, Investor Relations Director, please go ahead.
Marc Jasmin: Thank you, operator. Good morning, ladies and gentlemen. Welcome to the Boralex second quarter results conference call. Joining me today are Mr. Patrick Lemaire, President and Chief Executive Officer; Mr. Jean-Francois Thibodeau, Vice President and Chief Financial Officer; Mr. Guy D’Aoust, Vice President, Finance; Mr. Mathieu Chassé, Corporate Controller; and Mr. Pascal Hurtubise, our newly appointed Vice President and Chief Legal Officer. Mr. Lemaire will begin with his comments. And afterwards, Mr. Thibodeau will carry on with some financial highlights. During this call, we will discuss historical as well as forward-looking matters. When we talk about the future, there are a variety of risk factors that have been listed in our different filings with securities regulators which can materially change our estimated results. These documents are all available for consultation at sedar.com. In our webcast, the disclosed results are presented both under IFRS and on a proportionate consolidation basis. The particularities of proportionate consolidation have been explained previously as well as the reason why we use it. Unless otherwise stated, all comments made in this presentation will refer to proportionate consolidation figures. The press release, the MD&A, the consolidated financial statements and a copy of today’s presentation are all posted on the Boralex website at boralex.com. If you wish to receive a copy of either of these documents, please do not hesitate contacting us. Finally, take note that we will only take questions only from sell-side financial analysts who currently have an active coverage on Boralex. Mr. Lemaire will now start with his comments. Patrick?
Patrick Lemaire: Thank you, Marc. Good morning, everyone. For the second quarter, Boralex reports once again increased quarterly production, revenues from energy sales and EBITDA, driven for the most part by the contribution of assets which were either acquired or commissioned during the last 12 months. Also, the better performance of comparable Canadian wind and U.S. hydro sites more than offset for the weaker performance of the French wind and Canadian hydro sites. Over and above our financial results. Our development teams on both sides of the Atlantic continued driving new initiatives, including three bids in the North America – in North America in response to the RFP issued earlier this year by the state of Massachusetts. The underlying project, called SBx, is a 300-megawatt wind project located on la Seigneurie de Beaupre site in Quebec that would be jointly developed, financed, built and operated by Boralex and Gaz Metro. The energy produced would be firmed up with hydroelectric power supplied by Hydro-Quebec generating fleet, and the synergy between hydro and wind would help supply the state of Massachusetts with clean, stable, sustainable energy well into the future. We believe, our bids will be very competitive and look forward to the results, which are expected to be announced in the first quarter of next year. Considering these initiatives and the depth of our extended pipeline, I take the opportunity to reiterate our full confidence reaching our goal of 2,000 megawatts under operation by the end of 2020 or a 10% CAGR compared to where we stand today. However, our growth path is constantly evolving. More specifically, as can be seen on Slide 5, you will first notice that we now expect commissioning the 30-megawatt Chemin de Gres wind project in France by the end of 2017, thus earlier than anticipated. Second, because of an interconnection delay, we now expect commissioning the 16-megawatt Yellow Falls project in the second half of 2018. Third, given a tight schedule and winter construction constraint, our higher-altitude Moose Lake wind project in British Columbia is now scheduled for the first half of 2019. But we are taking every possible measures to bring it back to 2017. Finally, on July 7, 2017, the administrative tribunal of Rhine canceled the construction permit for the Moulin de Lohan project based on its risk assessment of landscape damage to the forest. As a result of these proceedings, construction of the project has halted. Boralex intends to appeal. And given the circumstances, legal precedent and the grounds stated by the tribunal, Boralex believes it is more likely than not that its permit will be reinstated. For further details, see the subsequent event note to the financial statement. Before I turn the conference over, I would like to add a few comments on the recent acquisition by la Caisse de depot et placement du Quebec, or CDPQ, of the 17.3% block previously held by Cascades. First, I would like to thank Cascades for their support since the creation of Boralex in 1995. Their vision and guidance were instrumental, making Boralex a current Canadian leader in the renewable energy field and the number one independent onshore wind producer in France. Looking forward, the arrival of CDPQ provides Boralex with a great opportunity to continue delivering great value to its shareholders. We especially look forward exploring with CDPQ project-level partnership opportunities and working with their board nominees, which will bring to the table complementary knowledge and insight about the global infrastructure and renewable markets. I will now turn the conference over to Jean-Francois to further discuss our results and review our operation and financial situation. I will be back later for my closing remarks and the question period. Jean-Francois?
Jean-Francois Thibodeau: Thank you, Patrick, and good morning, everyone. As usual, I will comment on quarterly numbers only, although year-to-date figures have been provided in the presentation for your convenience. Moving to Slide 8. For the second quarter of 2017, in comparison with 2016, Boralex reports a 27% increase in production, a 36% increase in revenues, a 39% increase in EBITDA and a 59% increase in cash flow from operations. Accordingly, revenues came in at $105 million and EBITDA stood at $67 million, representing margins of 64%. As for cash flows from operations, they totaled $46 million compared with $28 million last year. As a reminder, the 2017 figures reflect $6 million of maintenance-related procurement and lost production at the Niagara Region Wind Farm, for which guidance was provided last quarter. The basic net loss attributable to Boralex shareholders stands at $2 million or $0.02 per share, which compares to a net loss of $7 million or $0.11 per share in 2016. As you can see on Slide 10, both of our key segments of wind and hydro performed better. Thermal and solar were both stable while the corporate sector was slightly lower. I will later provide further details on individual segments. Moving forward to Slide 12 with an analysis of the quarterly $19 million positive EBITDA variance at the bottom of the page. The commissioning and acquisition of new assets provided an additional $17 million EBITDA contribution. And of this amount, $15 million came from the Niagara site alone. Volume also had a $5 million positive contribution on the year-over-year net EBITDA variance, and it is mainly explained by the U.S. hydro contribution and the strong performance of our Canadian wind sites, which compensated for the lower performance of the French wind site and Canadian hydros. Now moving to Slide 14. Let’s look at the wind contribution. Taking into account the newly acquired or commissioned assets, wind production increased by 30%. In Canada, it was up by 63%, while in France it decreased by 7%. On a comparable basis, excluding the contribution of commissioned sites, global production was similar year-over-year. In Canada, it was 12% higher, while in France it was 12% lower. If we look at it from the perspective of wind factors, expectations were for a 29% capacity factor in Canada and a 23% factor in France for a blended 26%. In reality, the overall blended capacity factor came in at 24%, considering Canada achieved its goal, while France achieved an 18% factor. The contribution of the newly commissioned sites had a favorable impact on revenues and EBITDA, up $22 million and $17 million, respectively. As explained earlier, these numbers were mostly driven by the contribution of the Niagara site. To conclude, in view the above-mentioned items, revenues increased by 39% to $81 million while EBITDA increased by 36% from $45 million to $62million, representing margins of 77%. Moving on to hydro on Slide 16. This quarter’s overall production was 21% higher compared to last year. It was 19% lower in Canada but 74% higher in the U.S. In comparison with historical averages, blended production was 10% higher: 9% lower in Canada and 25% higher in the U.S. As a result, quarterly revenues increased from $15 million to $19 million and EBITDA from $11 million to $15 million. As for margins, they stood at 78%, up from 72% achieved last year. We have no specific comments on the thermal and solar sectors. However, we’ve provided additional details on pages 22 and 23 of the Appendix section. We will now comment on the corporate sector at the top of Slide 17. Development expenses totaled $3 million, unchanged from last year. Administrative expenses within the corporate sector stood at $6 million compared with $4 million in Q2 2016, reflecting the company’s growth. Finally, other expenses remained flat at $1 million. Considering all of the above items, corporate EBITDA came in at a negative $10 million in comparison to a negative $8 million last year. I will now discuss cash flow generation and our financial position, as seen on slides 18 to 20. Quarterly cash flows from operations before changes in non-cash items came in at $46 million, up from $28 million in 2016. During the second quarter, we spent a total amount of $88 million on investing activities. More specifically, we invested $67 million on property, plant and equipment and another $22 million on intangible assets relating to the ECOTERA portfolio. Financing activities provided a net amount of $60 million. More specifically, we drew another $52 million on the revolver and incurred $56 million on new project-related debt. We also reimbursed $30 million of project-related debt and another $5 million for sales tax-related bridge loans. Over and above, we received $1 million following the exercise of stock options, paid $11 million in dividends and another $4 million to project-level non-controlling shareholders. This being said, cash stood at $126 million at the end of the quarter, in addition to $42 million in restricted cash. For the remainder of the year, for the 257 megawatts of projects identified in our growth path on Slide 5, we expect to spend another $225 million in property, plant and equipment. These investments will be financed by additional debt drawdowns of approximately $220 million and an estimated $5 million from our minority shareholders. We do not expect requiring any project-related equity in 2017. For 2018, based on our current 257-megawatt growth path, we expect to invest approximately $125 million in property, plant and equipment, including approximately $25 million of equity and $100 million of project-related debt. Now for the remainder of 2017, project that reimbursements should amount to approximately $65 million. For the next 12 months, they should amount to roughly $145 million. I will now discuss our payout ratio. For the last 12-month period, our ratio stands at 177%, outside of our target ratio of 40% to 60% of discretionary cash flows and is mostly explained by weak wind conditions in France. This ratio should rebalance when wind conditions return to normal in France. Thank you for your attention. I will now turn back the conference to Patrick for a few closing remarks before the question period. Patrick?
Patrick Lemaire: Thank you, Jean-Francois. To conclude, I would like to remind you that we continue regularly increasing our production, revenues and EBITDA either by delivering high-return, greenfield projects or through accretive acquisition. Overall, we remain in a great position to provide our shareholders with a balanced mix of growth and a return on capital going forward. More so, with the recent arrival of CDPQ as a shareholder, we look forward exploring with them potential project-level partnership opportunities. Thank you for your attention. Operator, I will now take question from the participants.
Operator: [Foreign Language] [Operator Instructions] And your first question comes from Rupert Merer with National Bank. Please go ahead.
Rupert Merer: Hi, good morning, gentlemen.
Patrick Lemaire: Good morning.
Rupert Merer: And so looking at the Moulin de Lohan project, the court that’s canceled the permits, it’s that the – is that a federal court or is that a local court? And is it the same court that will review the appeal to the permit cancellation?
Pascal Hurtubise: The answer is no. The court of appeal or the appeal will be heard by an administrative court of appeal in a…
Patrick Lemaire: A month.
Pascal Hurtubise: …in a month. In a month as opposed to this lower court decision that was issued by a tribunal that is generally not necessarily in favor of wind projects.
Rupert Merer: Okay.
Patrick Lemaire: And the other court, Rupert, is, let’s say from past judgment, is more in favor of wind projects.
Rupert Merer: Okay, great. And looking across your projects that are under construction or permitted, are there any other sites that would face similar challenges?
Patrick Lemaire: Not in the portfolio that we have in France. So – and then this outcome came out as a surprise because, let’s say, they wanted – the judgment was based on, let’s say, qualifying the forest as a preserved forest, which is not because a preserved forest in France has no forest tree operation and our forest has a forest tree operation. So it’s a subjective judgment that we – that’s the reason why we’re – our confidence level is pretty high that we will win in the other court, so – or in appeal.
Rupert Merer: Okay. And it was mentioned that if you don’t win the appeal, that you’ve had some ability to make claims for the costs that you’ve incurred already. But what about legal costs? What are the anticipated costs associated with this case, both in a rearview and looking forward?
Pascal Hurtubise: It’s, I would say, marginal compared to the amount that we’ve got here. It’s basically same type of arguments that were already made to the lower court, so we don’t expect high legal deals for that.
Rupert Merer: Okay. I’ll get back in the queue. Thank you.
Pascal Hurtubise: Yes.
Operator: Your next question comes from Nelson NG with RBC Capital Markets. Please go ahead.
Nelson NG: Great, thanks. Just a follow-up on Rupert’s question on Moulin de Lohan. Can you talk about timing? Because I know – I think you mentioned something about looking at a scenario where that project could be delayed to 2020. But from your perspective, is that like a reasonable outcome if you are successful? There’s like a two-year delay?
Patrick Lemaire: Yes, yes, there’s a – if you add up the numbers, the deal, let’s say, the appeal can go from 12 months to 18 months. If it goes to 18 months, so it brings at the end of next year – it goes to the end of next year. And we still have – if we – if you go back to our growth path, the project was supposed to be put in service at the end of 2018. So there were still about 18 months of construction. So add the number, 18 months of court appeal at the end of next year and another 18 months, so we could accelerate the project a little bit. But we’ll see then. So it’s going to be beginning either at the end of 2019 or beginning of 2020.
Nelson NG: Okay, got it. And then just on your – so SBx wind development. So if you’re not successful on the Massachusetts site, the clean energy RFP, are you able to kind of bid that development into any other kind of near-term processes? And I guess the other question is, is there any insight on when Hydro-Quebec could put out another wind RFP? Because they tend to do that every several years.
Patrick Lemaire: Okay. Your first question, well, sure, we’ve developed the project. If there are other opportunities or if we’re not successful, and we’ll learn from our, let’s say, our bid that we’ve submitted. So they would – they’ll be public numbers. And when the, let’s say, the winner will be announced – so what I’m saying, I was saying so we’ll learn from that. And for sure, if there’s other opportunities, we’ll bid this in a future U.S. RFP. And so your second question, they – we have not heard or foresee any new, let’s say, momentum on Quebec wind energy unless what could be successful – no, not successful but what could happen if Hydro-Quebec wins. Many RFPs either in the States or, I think, now – so they’re working on deals in Ontario. So they could see the need for new power sooner than anticipated. So this - if there are winners, we see them – we see us as adding opportunities on the, I won’t say near-term, but for sure sooner than we were foreseeing in the past.
Nelson NG: Okay. And then just one last question. In terms of the Scottish wind development, you mentioned that there’s like 24 megawatts in advanced-stage development. Is there – like is there an actual process there to kind of bid that into – or is there a process to get a contract on that development? Or are you essentially waiting for something to bid into?
Patrick Lemaire: No, it’s – we’ll need to – if we get all the permitting per project, then we’ll need to find either a corporate PPA or the utility PPA because the Scottish government has an objective of increasing the renewable in their generation portfolio. So we – first, we want to have a permitted project, and then we’ll go and knock at door to see how we can value this project, so.
Nelson NG: Okay. Thanks. I will get back in the queue.
Operator: Your next question comes from Sean Steuart with TD Securities. Please go ahead.
Sean Steuart: Thanks, good morning. The first question is on the case partnership. Maybe not your position to talk about any parameters around, I guess, the magnitude of capital. They might envision contributing to projects. But any context you can give us on financial structures of the case that you’re envisioning going forward?
Patrick Lemaire: We’ve just announced, let’s say, the deal, the, let’s say, investment – or la Caisse has announced the investment into Boralex only two weeks ago. So we have not – we must not forget this is vacation time. So either people from la Caisse or from Boralex are away on vacation. So we are expecting meeting with them in September to see what kind of partnership – let’s say, a business model or partnership and all that we can do that can fulfill or – the need of either la Caisse or Boralex. So it’s too early to tell to say anything.
Sean Steuart: Okay, okay. And any update you can provide on the Apuiat projects, update on negotiations with Hydro-Quebec for a PPA for that project?
Patrick Lemaire: No, we’re waiting for meetings with Hydro-Quebec, so – for the Innu. I think you must not forget this is an Innu project. So this – and the Innu are driving that, so we’re – as eager as you are to know what would be the outcome of this. So – but we’re – for sure, we’re helping them and doing everything we can to get those meetings with Hydro-Quebec to address for a future project.
Sean Steuart: Okay. That’s all I have for right now. Thanks very much.
Operator: Your next question comes from Ben Pham with BMO Capital Markets. Please go ahead.
Ben Pham: Okay. Thanks, good morning. I want to follow-up on the – clarification on the question on la Caisse, and I just wanted to check. So you have already met with them in terms of thinking about looking at future opportunities, but you haven’t met them in terms of looking at the details yet. Is that what’s happened?
Patrick Lemaire: Yes, yes. When they’ve talked to us about their participation into the capital of Boralex or being a shareholder, they told us that they were looking at doing more than only being a shareholder. They said that we could look at partnerships on the project level – on a project – yes, a project level more – over and above their participation in shareholders.
Ben Pham: Okay, all right. And then on operational side, French wind production and something we’re seeing in some of your peers. You guys looked at that in more detail on what’s driving the weak French wind conditions this year? And how do you think about French in general going forward in terms of business mix and where you want to grow that business?
Patrick Lemaire: Yes. Let’s look at the last 18 months. For sure, you probably don’t remember, but we had an exceptional first quarter and a good second quarter of last year, so beginning of 2016. So the first two quarters were higher than the, let’s say, the anticipated production. But the last 12 months, I cannot argue that it’s been very low. And like our peer commented that it’s been the lowest in their 20-year production. So I cannot come up to conclusion because if I take three, six months’ period, I had exceptional one and two bad ones. What’s going to be the next one and the next six months? I hope it’s going to be higher so we can balance on the production, on the, let’s say, the yearly production of this year. But I – we cannot jump to conclusion. We have this question often, and it’s a span of many years that we’re going to see if there is a problematic or if there’s – or, let’s say, if the warming up of our climate is having influence on, let’s say, the wind production, so.
Ben Pham: Okay. So would you say, given that difficulty in forecasting that as you head towards the next time you think about reporting sort of a dividend increase, you want to see French wind normalize closer? Or you guys have your own forecasts from that point forward to make that determination?
Patrick Lemaire: Yes, one must not forget that we don’t base our, let’s say, estimate of production on one year or a couple of months of data. There’s more and more wind data available, accurate wind data available over and above the wind data that we, let’s say, we collect through our net powers, metering powers that we installed ourselves. So this is made on long-term, let’s say, past and – on past data, and like the estimates are what the – everyone comes up with. It’s not only Boralex estimate. We finance these projects. So when we do financing, the debt provider makes its own assessment, and we come up to similar figures. So it’s really – I hope that we were not in a trend that it’s going to be lower in the future. I’m confident that it’s going to come back up. Because in the past, there has been tremendous year and there has been bad year. And we’ve seen – I think it was 2014 that was a – I don’t recall exactly, but we had a very bad year in the last six, seven years, too. So – but, let’s say, the weight on Boralex was smaller, so that’s why it kind of didn’t show as much both on our result. But I don’t see this as being – it’s mother nature. And mother nature – remember last year, we had a very poor year on hydro in the States, and that’s kicked back on this year. And it’s been a – and this year has been a very good year. So mother nature gives and takes, so that’s why I don’t foresee anything, let’s say, that would compromise a dividend increase if we’re within the ratio that we’re telling the market we want to maintain it, so.
Jean-Francois Thibodeau: And also, don’t forget that all this data that is being captured as – for the last two, three years will come into play into the new P50s of the new projects going forward. So if there’s any trend that we cannot foresee, but we’ll be taking into account as the – in the definition or establishment of new targets for new projects going on. So we keep monitoring everything on this, yes.
Ben Pham: Okay. And maybe just one last question, if I may. SBx project seems like a pretty exciting initiative. You guys mentioned that you think it’s very competitive. Are you thinking more specifically SBx itself? Or are you guys looking at the overall transmission and hydro and the overall package that’s being bidded in?
Patrick Lemaire: Well, for sure, the transmission is included in our bid and all that. So it’s…
Ben Pham: So it’s overall assessment?
Patrick Lemaire: Yes, yes.
Ben Pham: Okay, all right.
Patrick Lemaire: We have to. Otherwise, we couldn’t estimate, let’s say a return on that possible investment, so.
Ben Pham: Okay, because the transmission, you’re – you’d pay for that portion, right? Is that what you mean by that or…
Patrick Lemaire: Yes.
Ben Pham: Okay, all right. Thanks, everybody.
Operator: Your next question comes from Mark Jarvi with CIBC. Please go ahead.
Mark Jarvi: Good morning, guys. Quick question on Yellow Falls with the delay in the transmission or the interconnection. Is there any chance that, that budget creeps up higher again as you work through this issue over next year?
Patrick Lemaire: The negative impact is, let’s say, cash that one get revenues – cash we’ve invested that we’ll get revenues or will get revenues later on than anticipated. So – but the amount has not – the investment is not changing.
Mark Jarvi: Okay.
Jean-Francois Thibodeau: The amount that you have on the growth path that we’ve – in our MD&A has increased, although it’s more of a function of the interest – the capitalized interest that will be for a longer period, and, obviously, we need to take this into consideration in the total investment.
Mark Jarvi: Okay. And I also noticed that the run rate, 2017 exit run rate, for your EBITDA of $375 million is unchanged. How should we think about that with Yellow Falls being pushed out a year? Was that, factoring in that you would have normally seen it was running for all of 2017 that’s in the numbers? Or you can hit $375 million excluding Yellow Falls?
Jean-Francois Thibodeau: Don’t forget that Chemin de Gres was supposed to be COD-ed in 2018 and was brought back in 2017. So there are plus and minus and we still are very confident that the $375 million will be met. And that’s why we have not changed our guidelines. When we look at a run rate, obviously the term run rate means that it’s on a full year basis once all these – the projects that are being COD-ed in 2017 will be in full-blown operation.
Mark Jarvi: Okay, understood. And then as we look forward to the back half of 2017, based on your activities in France, do you expect to sort of identify or sort of contract or make firm any projects in the next couple quarters?
Patrick Lemaire: Oh yes, we’re working all the time to get all the permitting and to approve new projects at the board level. So we will have other project by the end of the year and – that we will come up or get approved and announce, so.
Mark Jarvi: Okay. And one final question, turning to Alberta. It looks like Cube went through the qualification stage to the RFP set for September. Is your project with your partner there moving along into the final RFP?
Patrick Lemaire: We have not got a, let’s say, response from the RFQ, so – yet and supposed to come out in September, I think. If we’re selected in the RFQ, and after this be able to participate to the RFP, so.
Mark Jarvi: Okay. Thanks for that.
Operator: And your next question comes from Bryan Fast with Raymond James. Please go ahead.
Bryan Fast: Yes. Just to focus on France for a moment here. I guess how do you view the new French government’s policy on renewables thus far? And I guess more specifically, are you seeing large amounts of red tape in France impact your business there?
Patrick Lemaire: We see the new government being very positive towards, let’s say, renewable and Nicolas Hulot, which is the Minister of Development, I don’t know how to say this, but trying to change and all that. He has been pro-green since many years, and he’s pushing hard. And actually, we see – even in France, they have announced that they want to ease the process of getting renewable approved or permitted. So we see this very, very positive. It’s a new government, so – but we all hope that everything will be put in place soon so we can accelerate our growth over there, so.
Bryan Fast: Okay, great. That’s it for me. Thanks.
Operator: Your next question comes from Rupert Merer with National Bank. Please go ahead.
Rupert Merer: Hi. There was some property that you acquired along with wind projects in France and U.K. last year, I believe, and you were going to look to sell that package. Can you give us an update where that stands?
Jean-Francois Thibodeau: We’re still in the process of – the goal is the same. We want to achieve a – we want to sell these winds or – over the course of – the goal was to sell within 24 months. And so far, we will probably achieve this target. We see no reasons not to achieve. So we’re working on it.
Rupert Merer: So that would suggest then you’ll look to sell it over the next 12 months at this point or something along those lines?
Jean-Francois Thibodeau: Yes. Yes, yes. Yes.
Rupert Merer: Okay, great. And then just finally, looking at your wind production in Canada. You achieved a 29% capacity factor in the quarter. Was that net of curtailment in Niagara? In other words, if you didn’t have curtailment in Niagara, would that number have been higher on actual production?
Jean-Francois Thibodeau: It would have been, yes, slightly above. Obviously, for the production, that was a miss. It would have been slightly above. Obviously, it’s a full Canada number. I don’t have the exact number that we had achieved, but you could see a couple of basis points after that.
Rupert Merer: And with the curtailment, I think you mentioned it was about a $6 million impact as forecasted for the quarter. Do you have any ability to reclaim some of the costs from the outage that you suffered?
Jean-Francois Thibodeau: Obviously, we’re looking at our – all the time at our means to recuperate this amount. But we’re – we cannot say exactly where we stand, but we are looking at ways to recapture this amount.
Patrick Lemaire: And one thing that we’re doing actually is to work with ISO and Hydro One to put in place system that won’t – let’s say, that will prevent or at least limit such curtailment that happened in the – that happened, so.
Jean-Francois Thibodeau: But as we speak, we don’t foresee – we haven’t been told of any new curtailment to appear in the next few months, so – but we’ll keep you posted.
Rupert Merer: Okay. I’ll leave it there. Thank you.
Operator: [Operator Instructions] Your next question comes from Jeremy Rosenfield with Industrial Alliance. Please go ahead.
Jeremy Rosenfield: Thank you. Just a couple of questions on SBx specifically. With the project, you have an option to acquire an ownership stake in any of the associated transmission lines? Or are you only developing the wind farm?
Patrick Lemaire: Only the wind farm.
Jeremy Rosenfield: Okay. And then just more broadly on the outlook for the French assets. For your contracted wind farms, some of the older ones will see their contracts roll off over the next couple of years. Maybe you just if you can give me your sense as to either bilateral negotiations or other activities to try to either recontract those assets or try to sell the power into the French market. Just some thoughts on your outlook there.
Patrick Lemaire: We will sell the power on the French market, so – and, let’s say, we’ll learn the possibilities, but we’re looking at how to maximize this actually. But it’s minimal. What’s going to happen, it’s 8 megawatts that’s going to – and that’s going to be in the – I think this year, it’s going to be at a – for the market. So – and it’s only 5% that – within the next five years. So we’ll see. And probably, there will be development of tools or a buyer or power and – that would buy this power. And it’s on a firm base. Not the 80-year-olds but lower and that will play the market with this. So there’ll be, let’s say, new markets for that as more megawatts are available on the market, so.
Jeremy Rosenfield: Do you think there’s an opportunity to upgrade some of those older facilities and repower them and try to offer a higher capacity number going forward into potentially a new call for tender under the larger projects that France has proposed? Or is that something that maybe it’s still too early to think about?
Patrick Lemaire: I’m going to say it’s early, but we always look at the economics of repowering a wind site because the wind site, we have a land lease over and above the 15 years of the initial contract. So if we see that economically it’s better to get a new contract through – we must not forget that there are – there will be RFPs in the future in France. So if we see that the, let’s say, the market – the tariff brand is x 0s per megawatt-hour and the economics are better when we do repowering, for sure we’ll do that. So we’ll always try to optimize our wind sites, so.
Jeremy Rosenfield: Okay, good. That’s it for me. Thanks.
Operator: There are no further questions at this time. I now will turn the call back over to the presenters.
Marc Jasmin: Thank you for your attention. A recording of the webcast is available until August 15. Thank you.